Operator: Good afternoon, everyone. Welcome to the Dave & Buster's Entertainment, Inc. Fourth Quarter 2020 Earnings Results Conference Call. Today's call is being hosted by Brian Jenkins, Chief Executive Officer. He'll be joined on the call by Scott Bowman, Chief Financial Officer; and Margo Manning, Chief Operating Officer. I'd like to remind everyone that this call is being recorded; and will be available for replay, beginning later today.  Now I'd like to turn the conference over to Scott Bowman for opening remarks.
Scott Bowman: Thank you, James. And thank you for all of you for joining us today. Before we begin our discussion on the company's results, I'd like to call your attention to the fact that in our remarks and our responses to questions certain items may be discussed which are not entirely based on historical fact. Any of these items should be considered forward-looking statements relating to future events within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements are subject to risks and uncertainties which could cause actual results to differ from those anticipated. Information on the various risk factors and uncertainties have been published in our filings with the SEC, which are available on our website at www.daveandbusters.com, under the investor relations section. In addition, our remarks today will include references to EBITDA, adjusted EBITDA and store operating income before depreciation and amortization, which are financial measures that are not defined under generally accepted accounting principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP results contained in our earnings announcements released this afternoon, which is also available on our website. Now we'll turn the call over to Brian.
Brian Jenkins: Well, thank you, Scott. And good afternoon, everyone, and thank you for joining our call today. As we close out a challenging 2020 fiscal year, I am pleased to report today that our business is on a clear path to recovery. Our stores are reopening, comp sales trends are improving, our financial performance is rebounding, and our liquidity remains strong. As I reflect back on the agility, the resilience, and resolve that our team has demonstrated over the past year, I am extremely proud of what they have accomplished. Dave & Buster's is a stronger company today because of the outstanding effort of our team, and for that, I am grateful. Following a temporary setback caused by the COVID resurgence over the holidays, our business recovery remained solid momentum. We concluded our fiscal year in January with 107 reopened stores. Our fully operational reopened comp stores generated January sales at 67% of 2019 levels, representing our strongest COVID-impacted month in fiscal 2020. In January, 85 stores, representing approximately 80% of our reopened stores, achieved positive store-level EBITDA, enabling us to post our first month of positive enterprise-level EBITDA since the shutdown of our entire store base just over 1 year ago. Our operating and corporate teams continue to execute a lean operating model as our stores rebuild their business. When our revenues return to 2019 levels, we estimate the operational improvements we've implemented will drive approximately 200 basis points of incremental EBITDA margin over the rate we achieved in 2019, excluding the impacts of cost pressures that may emerge over time. With improving COVID trends, higher seasonal sales and stimulus-related demand, our recovery has continued during the first 8 weeks of fiscal 2021.
Scott Bowman: Thanks, Brian. I'll first spend some time summarizing our fourth quarter performance and our liquidity position, and then provide some insights on the first quarter and fiscal 2021. For the fourth quarter, total revenues of $117 million reflected a 70% decline in comparable store sales. We ended the year with 107 open stores, including 3 new stores opened during the quarter. By month, overall comparable store sales were negative 69% in November, negative 78% in December, and negative 59% in January. January performance improved mainly due to the benefit from the government stimulus and the reopening of 14 comparable stores compared with December. Turning to the balance of the P&L, gross margin declined 11 basis points to 82.7% in the quarter primarily due to inventory write-offs related to closed stores, which was substantially offset by a higher mix of amusement sales. Operating payroll and benefits expense was 27.6% of sales compared to 23.9% last year. This was mainly due to deleveraging management labor due to lower sales and our decision to recall a core group of managers in New York and California to help ensure effective restart capabilities. Other store operating expense was 60.3% of sales compared to 31.2% last year. Most of this deleverage was due to occupancy costs and lower sales, along with deleverage in areas such as utilities and repair and maintenance expense. 
Brian Jenkins: Thanks, Scott. We're very encouraged by the first quarter momentum that Scott just described to you and are confidently implementing our 2021 strategic plan built around 4 key pillars that really define the Dave & Buster's brand. The first is to offer novel food and drink to bring people together. The second is to offer the latest entertainment to enjoy together. Third is to deliver an integrated guest experience with an aligned team, and the fourth is to drive deeper guest engagement. Our COO, Margo, shared further details of the first and third pillars during the last quarter's call. She will bring you up-to-date on our more recent progress, and then I'll follow up with an update on the second and the fourth pillars. Margo?
Margo Manning: Thank you, Brian. I appreciate the opportunity to give an update on the progress we have made on our key initiatives. First, however, I do want to recognize our operating team. They are dedicated to bringing our stores up quickly and profitably. Successfully relaunching these stores takes great effort. They continue to deliver strong performance, and I'm incredibly proud of this team. As Brian shared, our team has been implementing and refining a number of initiatives under each of the strategic pillars that Brian just discussed. Under the first pillar, offering novel food and drinks to bring people together, our teams have been working to establish a stronger, differentiated food identity for the Dave & Buster's brand, exploring virtual kitchen concepts, optimizing "back of the house" operations and enhancing our bar menu. Our new food identity, Inspired American Kitchen, is rooted in enhanced flavor and quality ingredients across a condensed number of menu items that we have priced to maintain our historic gross margins. This is the most extensive update to our food offering in more than 10 years, and it allows our guests to explore new flavors while offering a balanced selection of familiar dishes. Our stores have just completed the second phase of our menu initiative, taking our menu from 17 items to 22. Completion of the third phase of our menu by late May will bring us up to our final target of 28 items. This represents 33% fewer items than were on our pre-COVID menu. We expect our new menu to drive an improved guest experience and increased food attachment rates, all aimed towards increasing food and beverage sales. By the end of April, we'll have completed the rollout of high-speed ovens at all stores, reducing cook times by more than 40% on approximately 1/3 of our menu.
Brian Jenkins: Thanks, Margo, and thank you for your leadership and your team's incredible commitment and dedication to this company. The 2 strategic pillars that round out our 2021 strategic plans are also central to enhancing guest experience. The first is offering the latest entertainment to enjoy together. Over the past 12 months, our entertainment team has been working on several fronts to support this pillar, starting with 6 new games that will launch exclusively at Dave & Buster's this summer. This exciting lineup of new games includes titles such as Minecraft Dungeons Arcade, a 4-player cooperative game based on the best-selling video game of all time; , which brings the excitement of competitive act flow into Dave & Buster's guests in a fun, safe, fast-paced arcade format. Then there's Hungry Hungry Hippos, which brings a life-size version of the classic board game for up to 4 players. And we'll add a brand-new VR attraction to our proprietary platform with the launch of top 1 VR arcade just prior to the release of the new top 1 maybe this summer. We also continue to explore a sports betting partnership to bring sports racing and daily fantasy sports to D&B where allowed by law. We believe this could represent a mean accelerator to our appeal as a sports-watching destination and better leverage our watch assets. We expect to bring our negotiations to a conclusion over the next several months. Finally, we are committed to broadening our entertainment offering by building a programming capability. We are investing in a dedicated entertainment programming function focused on creating compelling content-based events to drive broader reach and increase visit frequency. The fourth and the final pillar of our 2021 plans is to drive deeper guest engagement to fuel our sales recovery and growth. We look to drive seasonal traffic by focusing our marketing into key media windows highlighting new product news, limited-time offers with a message that connects with our guests on an emotional level. Following a year of limited media spend, we have 2 campaigns planned for the remainder of 2021. The first campaign this summer will feature our new menu items, new limited-time drinks and our exciting lineup of new games. The second campaign still under development will target a November-December time frame, around the holidays. In response to changes in the media landscape that were accelerated during 2020, our plan also includes modernizing our media mix to reach guests where and how they consume content. This includes shifting a meaningful portion of our media spend from traditional cable to a more flexible mix that leverages advanced TV, digital audio and social channels. This new digital approach provides us with the ability to flex spending up or down market by market, depending on near-realtime results. Finally, even during COVID, our marketing and IT teams were pushing forward to complete implementation of a new marketing technology stack. These investments now position us to deliver more personalized targeted marketing messages to a wider variety of digital channels as we return to full operation. Before I close, I want to take a moment to thank retiring Board Chair Steve King for his vision and leadership over the past 15 years at Dave & Buster's. It has been an honor working alongside Steve over the years. He has been a great mentor and friend to me and to many other members of the D&B family. His influence will be long lasting, and he will be greatly missed. So I want to congratulate Steve and his family on his well-deserved retirement. Steve will sort out the remainder of his term that ends in -- this June with our annual meeting. At the same time, I want to congratulate Kevin Sheehan, who has been elected as the new Chair of our Board. As a member of the Board over the past 10 years, Kevin has been instrumental in shaping our success, and I look forward to his continued guidance. He will be working closely with Steve to execute a smooth transition between now and the June annual meeting. I'll close today by reiterating how encouraged we are by the momentum we've seen during these early months of 2021. We've achieved enterprise-level EBITDA profitability for 2 consecutive months in January and February; and believe we will do so for the first quarter of 2021, a significant milestone in our recovery. We are laser-focused on our strategic plans and the execution of enhanced business model, with the potential to generate approximately $30 million of incremental EBITDA as annual revenues recover to 2019 levels. We are optimistic that these efforts, along with the waning COVID challenges, will drive the D&B brand to new heights over time. And I am extremely proud of every member of the D&B team for their tenacity and their creativity that they displayed over the past year through an unprecedented challenge. We are moving forward together confidently, excited to reopen the remainder of our stores and to thrive once again as a leader in the combined dining and entertainment space. Now we'd like to open the call to your questions. James, you can open it up.
Operator:  And we'll take our first question today from Jake Bartlett with Truist Securities.
Jake Bartlett: Congrats on the improvement in the results here. Exciting that we're getting beyond this. Brian or Scott, my first question is just on the trajectory of sales and the improvement. I think you said January was down 59% versus '19, down 47% in the first 8 weeks, but how did those 8 weeks look? Has it been a continual or a sharp improvement month to month or week to week? What is the trajectory of the business?
Brian Jenkins: Jake, thanks for the question. Well, first of all, we're super pleased with the recovery we've seen here as we got into the month of January. November and December were sort of tough months for us with the resurgence and a lot of volatility there, yes, but since then we've seen a pretty -- a very strong rebound really. In January, as I mentioned, we hit a high watermark in terms of our comp sales index at 67% at our reopened, fully operational stores. That was really, as I said in my prepared remarks, the best month we've seen in 2020. We do think that the stimulus -- economic stimulus that hit really in January over a kind of, for us, about a 3, 4-week period was impactful and started to  from others, but we're really encouraged about how we've kicked off the year. Through the 8 -- first 8 weeks, we've achieved a 74% index of -- for 2019. Comp sales were down 47%, again now new highs for us, and those numbers have been a bit higher in March. We think that we've seen some bolstered demand around the next and the second wave of economic stimulus, sparking demand; and that the trends in COVID continue to be better from those levels off here in the last week or so. And I think we're seeing a little bit of pent-up demand. And March is a higher-seasonal-sales period for us, and we do have some spring breaks that have shifted a little bit into March, so March is going to get better than we saw in the month of February.
Scott Bowman: Yes. And I'll just -- just one quick comment, Jake. If you look at weeks -- the last couple of weeks, it was good timing with the stimulus checks coming out starting in week 7 and continuing into week 8. We have a fair amount of spring break activity in those 2 weeks as well, and so that just seemed to amplify that. And so it was good timing from that standpoint.
Jake Bartlett: Great, yes. I think really interesting charts you guys put out was -- I think it was in October, but it was the trajectory in various kind of stores in different states and how long they've been open for. Can you give us an update on how, for instance, your stores are performing in states like Florida or maybe the Southeast? At the time, they had been pretty close or at, flat to '19. What is the state of the sales in those markets now?
Brian Jenkins: Another great question. First of all, we're seeing pretty broad strength right now in the first 8 weeks. It's a bit stronger in the southern states, Southeast, in particular Florida, if you really want to dive into it. It's performing really well for us, a little less strength in some of the northern states and some of the Upper Midwest stores. I think some of the pandemic restrictions or lack thereof in some cases are playing a bit of a factor in that, but we're seeing -- when I mentioned that we were at 74% as an overall brand -- and the comp set for our business, the top quartile is at 91%. So it's pretty broad. Our second quartile is now at 78%. And our lowest, bottom quartile is running about 47%. So we're pretty encouraged about where we sit right now. We just talked about our New York stores here and right with a -- in a spring break week up in the Northeast. So we're pleased with what we're seeing here early on. It's obviously early days, but we're very encouraged about what we're seeing in terms of performance across the chain right now.
Operator: Next we'll hear from Jeff Farmer with Gordon Haskett.
Jeff Farmer: I know you guys are reluctant to provide too much detailed guidance on 2021, but I did want to drill down a little bit on G&A. It looks like your G&A dollars were down somewhere around 30% in 2020 versus 2021, so from a big picture's perspective, how should we be thinking about G&A in 2021 for the company?
Brian Jenkins: Yes, it's good question. So, I think you -- as we think about G&A, we have made some pretty significant reductions in 2020 with COVID. And so, I think the way to think about it going forward is we will add back some G&A, but we'll be very prudent in doing so. For example, as we talk about new programming initiatives that we want to do and some of the things to support our new initiatives for technology and so forth, we want to very prudently add some head count to support those initiatives, but we still want to retain most of the savings that we achieved in 2020. And so, I think the overriding theme there is that we'll be very careful as we add expense back to G&A from a headcount standpoint, but also from other areas like consulting. So, we plan on spending less consulting this year, especially than we did back in 2019, because we really have the plan in front of us right now. And we have the initiatives, we have the plan to move forward. And so, we'll need a little bit less of the consulting expenses here in the near term. It's more about executing the plan that we have in front of us.
Jeff Farmer: All right. And just as a quick follow-up on that, and I did want to ask just one more quick question, but incentive comp, stock-based comp, anything from a true-up perspective that could potentially happen in 2021 that we need to be aware of for G&A?
Scott Bowman: Yes. I, mean stock-based comp just depending on results always can vary with results. And so, I think that has the opportunity to be a little bit higher, and so that goes kind of hand-in-hand with our performance.
Jeff Farmer: Okay. And then final question, and I might have missed this. I apologize for that, but in terms of that $210 million to $220 million revenue guidance, I wasn't quite sure what that implied or factored in terms of same-store sales level versus the 2019 level for the quarter and the number of stores that you expect to have open on average for the quarter. So those are 2 big drivers of that revenue number. I'm just curious if you can provide a little bit more detail.
Scott Bowman: Sure, sure. I think the way to think about that is we'll open just a few more stores. We're getting close to the end on store openings, so there won't be a dramatic difference there. As we think about the remainder of the quarter, really there's too many things that you need to think about. Number one, April is a much lower-sales-volume month historically than either February or March. Just to give you a little perspective: March in 2019 was the highest-volume month from an average weekly sales standpoint, and then February was the third highest. And as you look at April, it's towards the bottom in terms of average weekly sales historically. And so a lot of it is just the seasonality impact. And then the other factor that I would consider was -- is the effect of stimulus. So we mentioned that stimulus had a pretty large effect, especially in the last couple weeks, weeks 7 and 8. It will still have some favorability probably in the next couple of weeks and -- but it won't be to the extent that we saw in the first couple of weeks. So those will be the key drivers as we kind of think about the revenue for the rest of the quarter.
Brian Jenkins: And Jeff, just one. You asked about what was impact of stores. Obviously the big base of stores that we have left to open right now are California. Our -- we've got -- as we sit here today, we've got 130 stores, of our 141, that are open. This is obviously up from where we were into the fiscal year. It was around 107. 9 of that 130 are restricted. When I say restricted, in this sense I'm saying restricted from arcade use. And California with -- a couple of stores we have in California, we can't operate arcade; New Orleans; and Albuquerque. So we've got about 121 stores, out of 141, that are fully operational today. We expect that to move to 138 total stores next week. So another 8 are going to come online and those are primarily California stores. And we are not projecting to have California fully operational with arcade use in the quarter. And as you might expect, that makes it really hard to generate for us significant revenue, so.
Operator: Next, we'll hear from Andy Barish with Jefferies.
Andy Barish: I wanted to try to dive into sort of the marketing side of things. I think on previous calls you highlighted sort of the summer was going to be more brand relaunch related. Is there a shift going on that to kind of focus more on the specific new food and game offerings?
Brian Jenkins: I -- good question, Andy. Not really a shift. I think we have, along with our new creative agency, really been working on creatives that will really bring our brand alive in the eyes of our guests and just create an emotional connection with the guests. And I think we're going to be able to do that by actually featuring some of our great new games and some of our new food items. So we're -- as I said last -- on the last call, we plan to try to get out big here. We've been relatively silent for 12 months, and we feel like summer is the right time to strike pretty hard. We're going to have 22 new food items. We're going to have 6 new games. It's going to be one of the bigger spends. We've also haven't spent a whole lot on games in the last 12 months. So we have to be very confident. And of course, we're going to want to use that in our creative and so we will be featuring some of that. We're not going to be particularly -- and Scott mentioned this. We found that we're creating quite a bit of the demand and recovery without discounting. So it's not really our intent to discount as heavily and as frequently as we have in the past. I'm not going to say we won't do that some, but we are going to be talking about our brand with a larger voice, starting around June. And it will have, as a part of that, content and that message; and feature some of the -- a new game and some of the food. So we're really excited about what we have in store here as we hit this June window, late May, June.
Andy Barish: And then let me follow up with I appreciate the drivers behind the 200 basis points of EBITDA margin associated with the revenue recovery. Is there an expectation that it's starting to get built into '22 can be sort of a full revenue recovery year to look close to 2019? Or how are you guys kind of thinking about the ramp, obviously given a lot of potential unknowns out there?
Brian Jenkins: Yes. I mean I guess I'll answer it this way. We're someone who's taking this a little bit quarter by quarter. We're giving you what we think that we're going to see this quarter. And we're reluctant actually to guide full year sales. Number one, some of this is stores open. And we're extremely optimistic about the recovery, but I think it's really difficult, Andy, to predict when we achieve 2019 levels, yes. We're fighting the battle quarter by quarter. We've got plans that, I think, are going to set us up really well in 2021. We're not planning to get back to a 2019 run rate in this year. It could happen, but we're not projecting that right now, so -- and not looking to project 2022 either.
Operator: We'll now hear from Andrew Strelzik with BMO.
Andrew Strelzik: Great. Obviously the amusement side of the business has been quite strong relative to the F&B business here recently, but there's a lot that you're going to be working on, on F&B, it sounds like, going forward. So I guess, with respect to how you expect to exit the pandemic kind of longer term, do you think that the mix of the business will look different than it did pre pandemic? And have you contemplated any of that in the EBITDA margin target that you've given?
Brian Jenkins: So I'll answer the first part of that and flip it over to Scott, but in terms of what we may expect, we feel like the mix we're seeing, which has obviously shifted even further into amusement, is likely to continue over the near term. If you think about our brand -- we know people. Our guests choose us. And the primary driver for that visit to a Dave & Buster's is our games, so I don't think it's too surprising that we're seeing a bit of a mix shift here as people want to get back out to their lives and look for an entertainment or -- experience. So I think we're going to see that mix be more heavily weighted for some period of time. That doesn't mean that the incredible efforts by Art Carl and Brandon Coleman, who have been working so hard on our menu, isn't going to pay some dividends over time, but I think near term we're going to see a pretty significant and consistent mix shift to amusement for the foreseeable future here.
Scott Bowman: And as we think about the 200 basis points of improvement that we talked about. I did not include any favorability from that in that estimate. And the thinking behind that is we'll likely see other cost pressures along the way or inflation. And so that could help offset that, but I did not -- and that's one of the main reasons I didn't include it in the 200 basis points.
Andrew Strelzik: Got it, okay. So that's helpful. And then my other question is going to be around the competitive environment and if you have any updates there. I know it's kind of difficult to ascertain broadly what's been going on with -- just with closures and things like that, but just any kind of the internal intel you've been able to gather would be helpful.
Brian Jenkins: Another good question. I don't know that there's anything that's really changed materially since we spoke end of December. Clearly we -- pre COVID, we've seen a lot of, let's say, massive competitive headwind, a lot of new names and accelerating store growth across that universe of -- but as we sit here today, I think a lot of our competitors have clearly had to shift their attention, as we have, to the core business; and managing through whatever liquidity pressures they have and in the face of store closures in some cases and then certainly softer demand that we're seeing and they are as well, I'm sure. So it's a bit of a mixed bag. You can go on to the websites to see that, our major competitors Topgolf, Main Event, they're essentially fully open right now. How they're performing, not sure. They have -- particularly Main Event has a pretty diverse product offering that requires a little bit more heavy labor-intensive profile to it. And -- but I think what we're going to see is a bit of a lull here as people get their core business back on its feet. And we can go on to websites and see who's got "coming soons," but how quickly those stores actually come back up and actually evolve, I think, remains to be seen this year. What we're going to do is to concentrate on what we do best; and that's running our stores, getting them back up. I think we're doing an incredible job right now. We have a lot of liquidity. We have demonstrated, to remind you, a clear path to profitability. We hit that point. We have an extremely attractive financial model with COVID and, in my view, much more so than the competitive set, so I feel really confident about our ability to compete. We have a great team. We're prepared for this post-COVID world, whenever it happens, but we feel really good about where this brand stands.
Andrew Strelzik: Great. And congrats on the progress that you're seeing.
Brian Jenkins: Thank you.
Operator: Sharon Zackfia with William Blair has our next question.
Sharon Zackfia: I guess, Brian, I want to just follow up on the competitive -- I wanted to follow up on the competitive question because you are obviously going to see a lot of fallout in this space and you'll be a survivor. I mean that's clear. I guess, instead of kind of take in these savings and flowing them through to the bottom line, have you thought about reinvesting more in the business to really extend a competitive moat coming out the other side? And we all know competitive environments don't stay benign forever.
Brian Jenkins: That's -- I mean that's a really great question. If you think back to 2019: We had talked about some savings we had identified. And so that's exactly what you just indicated, that our intent was to reinvest in the business. So we are making reinvestments in the business right now around a programming engine, around some of our technology that Margo described a bit, around the service model, really trying to rethink how we deliver the experience in our stores. So we are thinking forward here and that we've got some meaningful capital in our budget to make progress in that regard. So we're going to be very selective and focused on where we make those investments, but I don't -- I totally agree. We agree as a company that we need to invest in the future here, and that's our intent.
Sharon Zackfia: If I could sneak in another question. I'm really intrigued by the sports betting, but the parental side of me just wonders. How do you balance that with being a family-friendly environment at the same time?
Brian Jenkins: Another really good question. Obviously we will venture into this over time. Today, we feel like the sports betting could represent a meaningful opportunity for this brand. This is a wave that's really just kind of beginning. We think states are going to expand the legalization of that over time. We think it could be very complementary to our business. Our core target is adults 21 and up. So we're going to -- we are actively looking to pursue that and we're in negotiations. That said, as you look at the landscape today, we estimate we could offer online sports betting in about 13 locations or 3 states. I -- there are 5 or so other states that have made an allowance for mobile sports betting but present some liquor licensing challenges that we would have to work through. So it's this is going to be a bit, let's say, a journey. And we see this market in the near term could be more like 27, 30 stores out of our chain. So we're going to see how it works, but we think it's something that could be very complementary to what we do and so we are pursuing it.
Operator: Next, we'll hear from Chris O'Cull with Stifel.
Chris O'Cull: Scott, I apologize if I missed this, but how much of the operational improvements that are expected to improve the EBITDA margin by 200 basis points are already in place today?
Scott Bowman: Yes, good question, Chris. It's -- I'll give you this, if this may help. If you look at the key drivers here: There's really 3 main drivers that drive almost 75% of these savings. The first one is hourly labor. And we've talked about some of the technology that we're rolling out with tablets and mobile order and pay, upgrading our kitchen management system, high-speed kitten equipment. So really investing in that area. It's trying to make our back of house and front of house more efficient, also looking at scheduling improvements and off-peak day parts. And so hourly labor is a big component of what we're talking about, and the service model surrounding that. Also again, from a management labor standpoint, we will have a reduction in the number of managers in our stores. And in some cases we'll augment with some hourly team members or key hourly team members. And then G&A expense, that, and I mentioned as well. So G&A expense, I think, compared to 2019, it's more of a like-for-like comparison. We'll see a fairly nice reduction from 2019 from the head count standpoint and consulting. And you roll all those three together and you get about 3/4 of the savings. Aside from that, there's other things, other line items that add up the remainder that we've identified and we feel comfortable about. And I think, if you just think about it this way, if we were to come back to our 2019 annual volumes tomorrow, which we won't, but if we did, I feel very comfortable that we would achieve these savings because they really already have been identified. And most of the structure has already been changed to accommodate these savings, so we feel comfortable about the structural changes that we've made.
Chris O'Cull: Great. And then my other question just relates to labor. I was hoping you could help us understand how labor will be impacted now that the New York stores are open; and whether or not you have a sense where we could settle out in the intermediate term once they fully reopen, potentially conditioned on, I guess, a few levels of different index sales performance.
Scott Bowman: Yes. It's another good question. So New York. And then one in California opens as well. I mean they'll definitely raise the average on hourly labor. So it will definitely come up from where it is and will start to normalize as we get all of our stores open and fully operational, yes. So we got a little bit of runway before that happens, but as that happens, we will settle out and definitely at a higher level than we are today, okay? But during that time frame, we'll also have some of this new technology and service model that will help us sustain a lower level of hourly labor as a percent of sales than we saw in 2019, but it definitely will be higher than it is today because of that.
Operator: Brian Vaccaro with Raymond James has our next question.
Brian Vaccaro: I want to circle back on the quarter-to-date. And I think you said the $150 million in sales over the 8 weeks. Could you give us how many operating weeks are reflected in that? Or maybe just help us level set where weekly sales dollars are on the fully operational units in February versus March just to make sure we're all on the same page.
Brian Jenkins: In terms of operating weeks?
Scott Bowman: You're asking about the total number of operating store weeks.
Brian Vaccaro: Yes, yes. Because I mean the definition gets a little confusing, the stores open, the stores closed. Obviously California is open, but the sales are down, so I'm just trying to level set kind of average weekly sales trends that's reflected in the $150 million quarter-to-date.
Brian Jenkins: Brian, I'm not sure we have the store weeks here. To share with you. I don't have that stat right now, honestly. We've averaged collectively about $18 million or so a week, but I don't have the store weeks here to provide to you.
Brian Vaccaro: Okay, all right. Maybe we can circle back after, off-line, but I also wanted to clarify the quartile stat that you gave, Brian, I think, earlier in the Q&A, the 91% top quartile; 78%, I think it was, for second quartile; et cetera. Was that a quarter-to-date? That's over the full 8 weeks quarter-to-date period.
Brian Jenkins: That's right. That is correct.
Brian Vaccaro: All right, okay, great. And then just to shift gears a little bit back to the margin recovery framework you provided. The $30 million in savings, the buckets there, does that include marketing efficiencies as well? Or maybe you could just -- the $30 million, we've got labor, other OpEx, lead and marketing. Maybe just ballpark kind of how you expect that to fall over the different...?
Scott Bowman: Yes. From a marketing standpoint, really the 2 main things that we see in marketing is, number one, we're planning on doing fewer promotional discounts. And it's really a change in thought and really in strategy to do more limited-type offers versus kind of always-on type of promotional discounts. And so that -- like that will save us some money. And that's one of the things that we've learned over the last few months. It's that we've done significantly less discounting. And it's still we still see sales come in, especially on the amusement side. We haven't really seen an impact there. Another smaller item with the menus. It's kind of a one-page paper-based type of menu, so we'll save a lot of money there. So the overall savings in marketing won't be the bulk of it that later you’ll see and that will help us. A couple of other areas that I mentioned, on our special events team we've really kind of rethought the organizational structure of our special events team. And we've invested in some technology there as well to make ourselves more efficient, thinking more from a kind of a centralized approach using more tools to make us more efficient. So that will help us as well. So those are a couple of other areas, but the other 3 areas that I mentioned was 3/4 of the savings, the G&A, hourly labor and management labor.
Brian Vaccaro: Yes, okay. And on the management labor side, I think, pre COVID, you had the general manager. And then I think the average store had 8 managers per store. Where do you see that settling out in the post-COVID world on average?
Scott Bowman: Yes. So on average it's -- it will still settle out about between 7.5 and 8 or so.
Brian Vaccaro: Okay, okay. And that includes the GM.
Scott Bowman: Correct.
Brian Vaccaro: Okay, great. And then lastly, can you just expand on what you said about the virtual brand? How many concepts are you currently running? I think I heard the wing concept, but is there another one or perhaps that you're testing? And then what level of sales per week are you currently generating from the virtual brands? I -- you may have said it on the call, but I missed it.
Margo Manning: Margo. We have 2 ghost kitchen concepts right now, the wings out that we have testing in 7 of our stores. And then we have a concept which is Buster's American kitchen, which is basically the Dave & Buster's menu under Buster's American kitchen concept. So we have 2 ghost kitchen concepts right now and we have 1 that we have planned to test in September. And I don't have the weekly sales number right now, but what we had given is the 3 concepts combined, so the Dave & Buster's to go, the wings out and then also the Buster's American kitchen. We see that averaging at about $50,000 per store. And the ones.
Brian Jenkins: Annualized.
Margo Manning: Annualized, yes.
Brian Jenkins: Yes. I mean we're -- as Margo said, we're early on here. We're getting our sea legs around promotional strategy. We -- I think we've done 3 -- and when we do that, promotional windows, and we've seen a pretty good tick-up for the 3 concepts when we've done that. So it's, in our view -- and I think Margo said it. We view this as highly incremental here, but we have a 140-store chain. We don't have 1,000. And our volume is obviously heavily mixed towards entertainment, so the impact that it can have on us versus traditional casual dining is just -- it's not as -- it didn't have the same kind of potential to move the needle for us.
Operator: We'll now hear from Brian Mullan with Deutsche Bank.
Brian Mullan: Just a question on development. It sounds like there's 10 stores that are in some form of planning now, but looking out beyond that big picture, do you expect Dave & Buster's to be a consistent unit growth concept once again? And if you do, could you just talk about the longer-term opportunity? Would you do smaller formats than prior? Would you go slower than prior? Just maybe none of that, but how are you thinking about this topic?
Brian Jenkins: Yes. I mean good question. We have -- even pre COVID, we have communicated that we were looking to moderate our pace of store growth; to pivot our attention, more attention, towards the core brand in the face of the competition we've seen. So as we sit here today, our challenge is to get our stalwart stores reopened and to rebuild that core business. In our view, that is the clearest and quickest path to recovery, I think, for our company and financial health. Not to mention, and this is a real issue, new unit growth at a rapid pace puts a lot of pressure on our store leadership, who are under a lot of pressure right now in the stores. They're not as deep as we once were, so near term, next year, 2021, we're going to be really measured. We're going to be conservative on new store development. As Scott mentioned, we had planned to do 4 stores. We've opened 1 of them already as one of our kind of new small-format stores in Gainesville, doing very well. And we've got 3 more on tap. And that cadence for 2021 is really pretty equally weighted. There's -- in that mix, there's I think 2 large kind of 35,000-ish square foot, again Gainesville that's less than 20,000 square feet and then 1 that's sort of that medium 30,000 square feet. So it's going to be measured in 2021. We've got a pipeline of about 10 attractive stores that we have right now. We're going to be pretty flexible on how we think about those 10, depending on how we recover. And our people pipeline, we'd like to leave flexibility to flex up and/or down depending on how our business recovers. My feeling right now is that there is going to be a time and place for us to really start to accelerate again on units. We feel very confident in our potential that -- at that 230 to 250 kind of North American potential, but that's a much more likely consideration as we head into 2022 and beyond. We're going to work hard to get this core business back online and performing well. That's our top priority.
Brian Mullan: Okay. And then just my follow-up: Scott, I think you mentioned earlier you don't expect sales recapture to 2019 at any point this year, but if you were to somehow be surprised by that this summer with if this Roaring Twenties theme is real or anything like that, consumer demand, is there a scenario where you could exceed 200 basis points of margin expansion if the revenue recapture is actually greater than 100%? So if it's 105%, 106% this summer or even next year. Or would there be costs that come in association with that?
Scott Bowman: Yes. I think the way to think about it is, if we were all of a sudden to get back to 2019 levels of revenue much more quickly than we anticipated -- I kind of pointed this a little bit before. The changes that are required to get these savings have mostly been made. And so we've thought about the structure that is needed to achieve these savings, and in large part we've already made those changes. And so it's really a matter of the revenue to increase to show the leverage against that new structure. And so for us, if we saw that happen sooner than later, then I think we would see the savings come through sooner as well because most of the work has already been done.
Operator: We'll now hear from Joshua Long with Piper Sandler.
Joshua Long: When thinking about marketing and the shift to more digital, is that more of a strategic pivot here over the near term? As I think about the story over the last several years, incremental weeks and diving deeper into some of these different channels, whether it's Nickelodeon or other things in the TV category, has been a meaningful driver of sales. And so just curious on how to contextualize the commentary around moving a significant piece of those dollars into digital and if we should think about that as just a near-term pivot given that there's a little bit of a lead time in getting back into TV. Or is this more of a structural shift longer term into really prioritizing the digital channel?
Brian Jenkins: Well, I think 2020 kind of accelerated our plans. Obviously we -- when we hit COVID, we shut down every element of our media spend we could, as our stores were shut down; and canceled whatever we could out of our upfront buy, cable. And we had a little bit of media running for us in the third quarter, but in this kind of environment, number one, we are locking into a more fixed -- cable buy is not something we're really wanting to do, number one. We want to be pretty flexible with the media plan. And then secondly, as I look at how our stores are recovering right now with limited media, we're super encouraged by that. We had an sort of always-on strategy. We've gotten ourselves, as you point out, to being on TV, on some channel virtually every week of the year. And so strategy this year as we come out of this COVID situation, and we're going to learn some things by it, is to pivot more heavily into digital channels. We spent a significant amount of effort during the COVID shutdown on developing out our marketing tech stack and it is our intent to utilize that to really reach our guests where they are, and that's not always on broadcast TV. So we're going to lean into that much more heavily than we had anticipated pre COVID. Number one, it gives us a lot of flexibility to cut it on and cut it off. And we're going to use this time -- in my view, when you have disruption, you can use the time to think differently about a lot of things. So we're going to do that here and we're going to see what we can deliver.
Joshua Long: That makes sense. I appreciate that color. And then secondarily, thinking about guest engagement and really leaning into digital, can you talk about where you are on that journey in terms of understanding and developing more of that conversation or that one-to-one marketing opportunity with your guest set either through your digital app or maybe with some of the forthcoming plans on investing in the digital channel?
Brian Jenkins: Well, as I mentioned, 2020 and really early in 2021, we worked hard to put in place a number of new tools within our tech stack. One was a new CDP system where we really can collect and organize, as you might imagine, our customer data into profiles, which gives us to -- an ability to create targeting look-like audiences and that sort of thing and help our -- reduce our media costs and improve our efficacy here. And that's something we're looking to unlock. We've invested in a sales force marketing cloud and a CRM system. That's big for us. We did that in the heat of COVID in July of 2020, so -- and we're really looking to integrate that with our CDP. And that's -- so that was a heavy, heavy lift for us in 2020. And there's another, a whole -- I'll say we've got 2 other key ones, but I think our marketing team is really armed right now with the tools they need to really engage with our guests more on a one-on-one level, as opposed to what has historically been broadcast TV as the only real play in our playbook.
Operator: Our final question will come from Jon Tower with Wells Fargo.
Jon Tower: All right. And well, I will not take much time. Most of the questions have been answered, but I was curious, yes, if you guys have had any chance to reach out to a number of your core customers that haven't been able to visit your establishment during the pandemic; or first, what they've been doing to entertain themselves during the crisis. Meaning, have they decided to pick up their gaming elsewhere? Have they not really engaged in any sort of amusements the way that you guys offer them in your stores? And then frankly, anything -- in the stores that you have reopened, what are you seeing with respect to amusement use within the stores? Meaning, are consumers staying away from highly contact games like pop-a-shot? Or are you -- or a moving back to that as quickly as you would have anticipated.
Margo Manning: So I'll take the latter part of the question and just let you know it's the guests have been coming back. It's been great to see the stores fill up with guests that are excited to be back at Dave & Buster's and for us to welcome back to the fun, but what we've seen is the guests have been really embracing just coming back and having the Dave & Buster's experience the way they'd like to have it. We have then social distancing not only in our dining rooms but also in our midways. And we have sort of tremendous amount of efforts into ensure that we have sanitation stations; and really on every shift, constant cleaning that's going on through the stores, including the midway and including our games. And so what we found is the guest is coming back and enjoying all of the games, and we're thrilled by that. And we're thrilled to be able to provide the fun, but we haven't seen any modification in their behavior in the midway.
Brian Jenkins: And I guess the -- I guess, the first part of that question, which is maybe more around how we're staying in touch with the guests and getting feedback. Well, the reality is with -- in 2020, when we were looking to make significant, significant reductions to our cost structure, we discontinued, well, a lot of things and one of which was some of our guest surveys and all those sort of things. So just recently -- when I say recently, I'm talking about last month. I mean we're -- it's ongoing right now, the implementation. We've reactivated with a new partner a customer feedback and collection system that we actually feel a lot better about than what we had pre COVID but to say we haven't commissioned, Jon, significant work in research and/or our normal survey-type activity since COVID started. And we're really just right now starting to reinvest in that. We think it's important and we're spending money on that, but most of the stuff that we've been looking at over the last year are commission-type research by other third parties and not ourselves.
Operator: And that will conclude today's question-and-answer session. I will now turn the conference over to Brian Jenkins for any additional or closing remarks.
Brian Jenkins: All right, well, thank you for joining our call today. Sorry we ran a little long. We wish you and your families a safe spring, hope you have a great one. And I hope you'll come out to one of our Dave & Buster's locations really soon. They are going to be open really soon. We've got a few left, but please come out and see us. Have a great night.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.